Operator: Good morning. My name is Grant, and I will be the conference call operator today. At this time, I would like to welcome everyone to Lundin Gold's Second Quarter 2021 Results Conference Call. [Operator Instructions]  Mr. Hochstein, you may now begin your conference.
Ron Hochstein: Thank you, Grant, and good morning, everyone. I hope everyone is doing well, and have been enjoying this summer so far. Thank you for joining us on this conference call today. Alessandro Bitelli, Executive Vice President and Chief Financial Officer, and I, are going to take you through our results for the second quarter of 2021. To begin with, I'll provide an overview of several key milestones achieved in the second quarter, give an update on operations at Fruta del Norte and discuss several important driving catalysts to keep an eye out for during the second half of the year.  After that, Alessandro will discuss our financial results in more detail before I finish things off with my concluding remarks. We will then open the call for questions.  Please note Lundin Gold's disclaimer's on this slide. This discussion includes forward-looking information. Actual future results may differ from expected results for a variety of reasons described in the caution regarding forward-looking information and statements section of our press release. Lundin Gold is a U.S. dollar reporting entity and all amounts in this presentation refer to U.S. dollars, unless otherwise indicated. I would like to kick off this conference call today by concentrating on our 2020 sustainability report, which we published in June. We believe that our sustainability performance is inextricably intertwined with our overall success and this report highlights how we integrate sustainability into our daily work. I'm proud of our results to date and plans for the future. Our fifth annual sustainability report outlined Lundin Gold's progress on its ESG performance in 2020 and provides direction and planned initiatives for the coming years. 2020 was a year in which the company transitioned its sustainability programs to an operational focus. As a result, and in part due to the COVID-19 pandemic, the company's community engagement, community investment and local content strategies were refocused.  Given the transition operations, it is essential that our approach to sustainability evolves to reflect new challenges and opportunities. As such, we've established a new 5-year sustainability strategy, which includes 8 strategic pillars: Climate change, community infrastructure, community well-being, environmental stewardship, health and safety, human rights, lasting economic opportunities and responsible resource governance. This strategy will guide us in our efforts to build off our programs and initiatives to date and drive sustainable development in Zamora Chinchipe. We have placed greater references on several emerging themes, such as climate change and resource governance and have created a measurement framework to better understand the true impact of Fruta del Norte and the project we implement. Supported by an impact management framework, the strategy will guide decision-making by senior management, good strong, active leadership and our field-based teams. For more information, the 2020 sustainability report can be found on our corporate website. As an integral part of its sustainability program, Lundin Gold has long prioritized actions to improve the quality of local education, particularly Fruta del Norte's area of influence. As such, I'm pleased to report on our initiative to provide critical access to online education for students in rural communities close to Fruta del Norte are who've been out of school since the onset of the pandemic.  The Estamos Conectados project, which was launched in early 2021 improves Internet infrastructure and provides teachers and children enrolled in local schools with the necessary training and equipment to facilitate online learning. Since March 2020, local schools have been closed due to the pandemic. And as a result, children are challenged in remotely communities where local Internet infrastructure is weak or nonexistent and without appropriate equipment to access the Internet. This -- the project entails the establishment of fiber optic connections. Free WiFi access points need to communities, special connection for community for fiber optic is not viable. Internet for the school in Los Encuentros, other infrastructure improvements and support and training for teachers to support remote learning. In addition, and marking a significant milestone in the project, all 1,370 tablets have been purchased and distributed to each and every student in the Los Encuentros, Paris, as well as several other rural communities close to Fruta del Norte.  Upgrades have also been completed to increase Internet speed at the local school in Los Encuentros, enabling 73 teachers to work virtually with students during the ongoing pandemic. The installation of fiber optic infrastructure to provide improved Internet service to the local communities, benefiting nearly 1,000 families is well underway. I would like to once again thank those service providers and lenders that are committed to support this initiative financially.  We continue to work on this ongoing project and look forward to providing updates on its development over the coming months. I'm also extremely happy to announce that the construction of our bridge over the Zamora River was completed and inaugurated during the second quarter of 2021 and is now being used to access site. The Zamora River Bridge enables a far more efficient and shorter route for trucks and vehicles to come in and out of Fruta del Norte.  Before the bridge was available, the route was about 32 kilometers longer on roads that were in poor condition and went through several villages. The new route now allows vehicles to remain on the national highway before turning off to cross the bridge and then shortly thereafter joining our Norte Access road. The bridge will reduce our transportation costs and will also reduce any risks associated with passing through the local villages. This bridge, while built to achieve efficient transportation churn from Fruta del Norte is also available for public use and greatly facilitates transportation for people in the local communities. I want to thank the team involved in the construction of this bridge for the efficiency and hard work that was put into completing this project on time, on budget and with excellent safety performance. Now let's turn our attention to Lundin Gold's results for the second quarter of 2021. Fruta del Norte has once again delivered strong production and operating results in the second quarter of 2021. The production of 108,799 ounces of gold consisting of 66,721 ounces in concentrate and 42,078 ounces as doré. Sales were higher at 125,412 ounces during the quarter, consisting of 80,486 ounces of concentrate and 44,926 ounces of doré.  The difference between ounces produced and ounces sold was principally due to the high sales in April, which was the result of processing very high grade ore during the latter part of March which resulted in effectively double the amount of gold inventory at March 31, 2021, compared to December 31, 2020. Record quarterly mine operating performance was achieved in the second quarter with 397,640 tonnes mine. Underground mine development continued as planned with a total of 2.4 kilometers of development completed with development rates averaging 25.9 meters per day during the quarter. On the processing side, we processed 346,561 tonnes of ore at an average -- record average throughput of 3,808 tonnes per day. The average grade of ore mill was 11.1 grams per tonne, and average recovery was 88.2%. We continue to fine-tune the processing plant to improve recoveries as we mine and process different types of ore. The throughput expansion modifications are also expected to improve mill recoveries through the additional retention time in the flotation circuit. During the first half of 2021, Lundin Gold has produced 212,936 ounces of gold at an average head grade of 11.2 grams per tonne, and average recovery was 88%. Year-to-date, the company's average all-in sustaining cost is $764 per ounce sold. While guidance for 2021 remains unchanged with production of 380,000 to 420,000 ounces of gold expected on Fruta del Norte, the company now anticipates ending the year closer to the upper end of this range.  Likewise, while maintaining its all-in sustaining cost guidance for 2021 of between $770 and $830 per ounce of gold sold calculated on a basis consistent with prior periods, we expect to be near to the lower end of the range provided. Before I discuss our expansion and exploration drilling programs, I'd like to provide an update on the South Ventilation race. As disclosed in prior quarters, the self-ventilation raise, or SVR, has been under construction for some time, and accordingly, its scheduled completion date push forward.  We have recently decided to revise the approach for the SVR. While the original plan involved the 5.1-meter raise, the new plan involves a smaller diameter, 2.1-meter raise followed by slashing to 5.1 meters in concrete lining of the raise. The risk of continuing to 5.1-meter raise were too great, and this alternative plan, we believe, reduces longer-term maintenance of the raise and geotechnical risks. In addition to the switch to a slash in line approach, we're also doing geotechnical drilling of an alternative location, if needed. Based on this approach, the slash in line approach, the new estimated time line for completion of the SVR is the second quarter of 2022. Importantly, there is no anticipated impact on production for 2021 or 2022 as a result of this revised work plan. Operational excellence is only one of our 4 pillars of value creation. And as such, we continue to advance the throughput expansion program, the resource expansion program and are making headway with our regional exploration program. The throughput program to increase the mill throughput by 20% from 3,520 -- 3,500 to 4,200 tonnes per day is continuing on schedule and on budget with significant progress made on structural works in the flotation concrete filter areas during the quarter.  By the end of the quarter, construction completion was at 18%, but now as of the end of July, was at 42% complete as equipment is now being installed. The ramp-up of the mill to 4,200 tonne per day is anticipated to begin in early Q4.  Sustaining capital during the second quarter of 2021, mainly focused on the completion of the first raise of the Fruta del Norte tailings staff and to start immediately thereafter of the second raise the resource expansion and the resource expansion drilling program. Resource expansion drilling at Fruta del Norte is well underway, targeting infill drilling of gaps in the existing indicated resource and conversion of a portion of the inferred resource at the south end of the deposit. The company remains on schedule with this planned 10,000 meter drill program. During the first half of 2021, 7,376 meters were drilled, and results are expected in the fourth quarter of 2021. The company's 9,000-meter regional exploration drilling program began at the end of March 2021. This program is focused on 2 high-priority targets. Barbasco and Puente-Princesa to test for barrier mineralization in a geological setting similar to that of Fruta del Norte. Drilling began on a section central to the Barbasco anomaly with 2 holes completed to a depth of approximately 1,000 meters each. The drill rigs were then move 400 meters south where 2 additional holes were completed. As of the end of the quarter, approximately 3,600 meters have been drilled with assay results expected to be released in the fourth quarter. Subsequent to the end of the quarter, the 2 holes were completed and one of the rigs has moved a further 200 meters to the southeast and the other is preparing to move. Due to the slow start of the drilling campaign to date, the company is evaluating starting the Puente-Princesa drilling while continued drilling on the Barbasco target. Now I'd like to turn the call over to Alessandro for a more detailed look at the financial results. Alessandro?
Alessandro Bitelli: Thank you, Ron, and hello, everyone. Let me start with 2 overall comments. First, our second quarter strong financial performance, including our highest quarterly operating cash flows is the result of record production in the mine and at the plant, consistent high-grade ore as per our resource modeling and very efficient operations. Second, you will recall that production at FDN was suspended during the second quarter of 2020 because of the COVID pandemic. Therefore, results for this quarter are hardly comparable to the same quarter in 2020. And allow me to point out how far we have come in 1 short year of operations, thanks to our incredible team at FDN. Now in the second quarter of 2021, the company recognized revenues of $216 million from the sale of 125,000 ounces of gold, consisting of 80,486 ounces of concentrate and 44,926 ounces of doré at an average realized gold price of $1,773 per ounce. This is offset by cost of goods sold of $106 million, which is comprised of operating expenses of $62 million, royalties of $12.6 million and depletion and depreciation of $31 million, resulting in $111 million of income from mining operations in the quarter. Over the first half of the year, Lundin Gold has recognized revenues of $356 million and income from mining operations of $175 million from sales of 207,000 ounces of gold. Lundin Gold generated net income of $50 million during the second quarter of 2021, bringing the first half of the year totaled to $136 million. Net income this quarter includes a derivative loss of $26 million as a result of an increase in the fair value of our gold prepay and stream loan facilities, driven by higher forward gold price compared to March 31, 2021.  This is a noncash item, and the volatile nature of these derivative gains and losses, also seen in prior quarters, is expected to continue given the volatility of forward gold prices. The MD&A provides a detailed explanation of the impact of fair value accounting of these 2 credit facilities and the determination of derivative gains and losses. Deducted in our EBITDA net income for the quarter are finance expense of almost $12 million, other expenses totaling $6 million, and income tax expense of $17 million. During the second quarter of 2020, a net loss of $64 million was generated primarily from costs incurred during the suspension of operations of $26 million as well as derivative losses of $25 million and finance expense of $14 million. Current income tax expense is based on estimated net income for tax purposes in Ecuador related to operations at Fruta del Norte.  In addition to corporate income taxes in Ecuador, which are levered at the rate of 22%, current income tax expense includes an accrual for the portion of profit sharing payable to the government of Ecuador, which is calculated at the rate of 12% of the estimated net income tax -- net income for tax purposes for the quarter. The employee portion of profit sharing payable calculated at the rate of 3% of net income for tax purposes is considered an employee benefit and is included in operating expenses. Corporate income taxes accrued to the end of June 30, 2021, are partially offset by tax credits available for use by the company. Actual income taxes and profit sharing payable to the government of Ecuador and the employees will be based on 2021 fiscal results and payable in 2022. During the second quarter, Lundin Gold generated record operating cash flow of $142 million or $0.61 per share. The total operating cash flow generated in the first half of the year was $217 million, or $0.94 per share. We expect the company to continue to generate significant operating cash flows during the balance of 2021 based on our guidance and current gold prices. Adjusted earnings exclude specific items that are significant but not reflective of the underlying operating activities of the company.  Presently, Lundin Gold, these derivative gains or losses with -- these relate to delivery gains or losses with related income tax effects. As a result, excluding the derivative losses of $26 million and a related income tax recovery of $800,000, adjusted basic earnings of $75 million were realized in the second quarter of 2021 or $0.32 per share. On the same basis, our first half of the year adjusted earnings amounted to $112 million or $0.48 per share. Cash operating costs for the quarter were $596 per ounce of gold sold, our lowest quarterly cash operating costs since achieving commercial production in February 2021. Cash operating costs were lower than previous quarters due to high production and sales, continued efficiency in operations and increased recoveries. Lower cash operating costs also resulted in a lower ASC. All-in sustaining costs achieved in the second quarter totaled a low $720 per ounce of gold sold, enabling the first half of the year ASC of $764 per ounce of gold sold. We calculate these non-IFRS measures based on gold ounces sold. For reference, all-in sustaining costs include operating costs, royalties, corporate social responsibility costs, treatment and refining charges, accretion of restoration provision and sustaining capital, net of silver revenue. As I mentioned earlier, Lundin Gold generated a total of $142 million of operating cash flow in the second quarter of 2021. This resulted in $192 million in a working of cash and a working capital balance of $109 million at June 30, 2021, compared to cash of $94 million and a working capital balance of $57 million at the beginning of the quarter. The change in cash during the second quarter of 2021 was primarily due to cash generated from operating activities of $142 million and proceeds from the exercise of stock option and antidilution rights of $88.3 million. This is offset by principal interest repayments under the loan facilities totaling $36 million and cash outflows of $16.7 million for capital expenditures, including costs for the remaining initial construction activities, the expansion project and sustaining capital. The company expects to continue generating strong operating cash flow during the balance of 2021 based on its production and as a guidance. The strong operating cash flow will support better payments, regional exploration and underground expansion during our Fruta del Norte and planned capital expenditures, including the throughput expansion project and also solidify our treasury position going forward. Monthly payments under the stream facility will be based on 7.75% and 100% of gold and silver ounces sold, respectively, calculated recurrent gold and silver prices at the end of each month; plus $404 per ounce, respectively. Stream payments are calculated in view based on final assets from smelters and the refinery. Therefore, there is not necessarily a direct correlation between stream repayments and all ounces produced or sold in a given period, which are based on mine site assays. Quarterly payments under the gold prepay facilities -- facility are expected to be based on the current value of 9,775 ounces of gold at the end of each quarter. Scheduled variable quarterly repayments of the senior debt facilities will total $33 million for the remainder of 2021, with lower repayments in the third quarter compared to the fourth quarter of the year. The company is working towards achieving construction completion as defined under the senior debt facility in 2021.  Upon achieving this milestone, additional quarterly principal repayments based on 30% of Fruta del Norte's excess cash flow also defined term in the senior debt facilities will also commence. The current portion of long-term debt includes an estimate of additional quarterly principal repayments as a result of reaching completion in 2021. In summary, another record quarter of production and depending on our strong financial results. A more detailed discussion of our financial results can be found in the MD&A, and I refer you to this document for more information. Now I'd like to turn the call back over to Ron.
Ron Hochstein: Thanks, Alessandro. Fruta del Norte continues to perform exceptionally well, and I'm delighted with the team's continued efforts to further optimize and enhance operations. Once again, record production during the second quarter of 2021 underpins our strong financial performance. In the first half of the year, we generated $217 million in operating cash flow and ended the quarter with cash balance of $192.2 million, which supports debt payments, exploration and planned and capital expenditures.  The resulting strong treasury will also provide the opportunity to evaluate increased exploration activities, future potential expansion and other growth opportunities. Looking towards the second half of 2021 and further into the future, we at Lundin Gold have identified 4 key pillars to drive shareholder value: Operational excellence.  As I've already outlined, we anticipate achieving gold production in the upper range of our 2021 guidance. Construction continues on the expansion program to increase mill throughput by 20%. Construction completion was up 42% as of July 31, and completion is expected early in Q4, consistent with our previously outlined plans. The revised work plan on the SVR is already underway, and completion of the SVR is now expected in the second quarter of 2022. As I stated before, there is no anticipated impact on production forecast for 2021 or 2022 as a result of this delay in this revised work plan. The company remains on schedule its planned 10,000-meter underground resource expansion program and is considering expanding it. This program began in the first quarter. Second rig started in May. As of July 31, 16 holes have been completed. Drilling rates have been on target since the second rig began drilling and results are expected during the fourth quarter. And finally, drilling is continuing on Barbasco. Initial results of this program are expected by the fourth quarter as well. While continuing to drill the Barbasco target, we are evaluating the expansion of the program to commence drilling in parallel at the Puente-Princesa target before the end of 2021. Before finishing, I'd like to thank everyone at Lundin Gold for their outstanding work during this quarter. The team continues to push the boundaries of what is possible, not only in the mine and mill, but also within the framework of ESG. We cannot rest on our laurels, and we'll continue to focus on optimizing, enhancing our processes and programs in the future.  I would also like to take this opportunity on behalf of everyone at Lundin Gold to thank Istvan Zollei for his contribution on the Board of Directors over the last few years. In his place, the board has welcomed Dr. Gillian Davidson, who brings a welcome experience and expertise in sustainability and shares the health, safety, environment and sustainability committee. As always, I'm excited for future developments and updates in 2021. I believe that Lundin Gold has positioned itself well to continue generating strong shareholder value for years to come. Thank you for your continued support.  With that, I will now open the call to questions. Over to you, Grant.
Operator: [Operator Instructions]. Your first question comes from Bryce Adams from CIBC Capital Markets.
Bryce Adams: Ron, the SVR has been a big challenge. I hope you're able to celebrate that completion in Q2. So my first question is on ventilation without the SVR. What's the total ventilation in cubic meters per second that you're able to supply to the underground? And how far is ventilation being forced at the furthest point, I guess, at the decline side?
Ron Hochstein: Yes. I'll have to get back to you -- well, thanks, Bryce. Yes, definitely, we'll be celebrating when this thing is finished. I'll have to get back to you with that cubic meter per second that we're sending down there. I don't have that number right at the tip of my tongue here. But we are able to push air through a series of booster fans that we've installed and the team continues to it's -- you got to pay attention to the small things like fan size and all that type of thing to really make sure you're getting your ventilation system as efficient as possible. But we are able to work essentially it's right up to the face. We even have our -- if you see the drawings there for the exploration on that one slide, even in ventilation all the way out to those drifts for the exploration. And it's more on the levels price that we're having to move the air around so that we can operate it on different levels.  And so what we do sometimes have to do is shift production from one level to another. And just to also work with the development production together. So far, thank goodness, we did the twin declines. That is what saved us so far. And we feel we're in really good shape with ventilation and what we have planned for rest of this year and next year with using as I say, series of booster fans and ventilation around moving within the mindset.
Bryce Adams: Yes. Okay. So there is a bit of a ventilation juggling act that's ongoing that you won't need to do after the vent shaft is completed?
Ron Hochstein: Yes. And to answer your question, 190 cubic meters per second.
Bryce Adams: That's more than I was expecting. On the regional...
Ron Hochstein: Thank you. Sorry, Bryce. Thank you, Doug.
Bryce Adams: Just jumping to the regional drill results. On the last conference call, we discussed the Barbasco status. At that time, I think you were one hole done and the second hole was in progress. Now in the disclosure, you mentioned that there's a slow start to the drill program and those assays are delayed to Q4. Is that related to slow drilling in the second hole or the third or fourth hole? I guess what I'm getting at is what is the slow start referred to?
Ron Hochstein: Yes, it's a good question, Bryce. The issue is we had some issues with the contractor with maintenance of the rigs in that, which we're having some breakdowns, particularly with the second rig they brought in. So we work with them now. We've got that resolved. But the issue is price for doing kilometer-long holes, and we're drilling in about a 45-degree angle. And that's -- as you know, those are tough holes to do your progress. It's a difficult hole and also they tend to flatten out on us. So it is challenging. We we just have to keep working with the contractor and also to the -- as we're moving further and further to the south, the logistics are getting a bit more challenging with moving people in and out. So we're actually setting up some remote camps to improve our efficiency there. So -- it's just that it's, I think, the nature of the type of drilling that we're doing. Our team feels we need to do these types of holes in order to really be able to cut across the different structures and see what's happening.
Bryce Adams: Okay. So big drill strings and some maintenance issues.
Ron Hochstein: Yes. And we've had the last 2 holes, too, because you're, again, working at that 45-degree angle. Big drill strings. We've had some -- it's taken us longer to get the rods out of the hole 2 than normal.
Bryce Adams: And in the core, is it competent rock that you're seeing?
Ron Hochstein: Yes. Yes. There's some -- there's -- it's always challenging, Bryce, for these types of deposits. The things that -- where we have seen definitely some faults to these rocks, which is great. Those are the plumbing systems that we're looking for. So -- but generally, it's competent rock. Good core recovery.
Bryce Adams: I think you mentioned 4 holes are completed and that 5 and 6 are bad to get started here near term. How many holes do you plan for Barbasco? Is that a 10-hole program?
Ron Hochstein: It was originally going to be about a 6-hole program, Bryce, and hole 5 is at about 400 meters now, all 6, they're moving the rig as we speak. And so that's why what we're doing now is saying, -- What we're seeing is of interest. That's about all we can say right now, we're still waiting for the assays, but the geology looks very interesting.  And so yes, we're -- we think we want to keep this program going, and then we'll just bring in another rig and get it -- bring in another team and get going on Puente-Princesa. So I would say there's a very good chance we're going to increase our exploration program for the year and keep things going.
Operator: Your next question comes from Kerry Smith from Haywood Securities.
Kerry Smith: Ron, could you talk a little bit about the block model reconciliation through to the end of Q2, just how it's been relative to what you'd expected in the model?
Ron Hochstein: Yes, Kerry. Yes, it's actually been really -- it's been great. We have not had any issues at all. There was -- we -- it was one of Alessandro mentioned a little bit about completion. That was one of the tests that we had to do from the start of production up until end of Q1 and we were essentially on -- slightly above on both tonnes and grade. And we're not talking -- it's like 100 -- 304%. So the model is holding up very well to -- and remember, Kerry, this is the model that we inherited from Kinross. We really haven't done a lot of work to this model. So I think it just shows what a great ore body Fruta del Norte is. And -- yes, the model has held up very well.
Kerry Smith: That's good news. And can you -- can't remember if you've done this, and if you have, if you could just remind me, have you given any guidance on grade in the second half, either even just directionally, whether it's you're expecting the grade to be better than the 11, it was right around 11 grams you had in the first half.
Ron Hochstein: Yes. No, we haven't got to that granular. Part of the issue, as you know, Kerry, with an underground mine is some stopes are bigger than what anticipated, which, in our case, has mostly been the case, but some -- so -- and also as what we're talking with Bryce, with our ventilation side of things, too, we're having to move things along. So it's kind of a moving picture, but we're generally on track for the year is what we can say at this point in time.
Kerry Smith: Okay. So we should kind of expect similar grade, I guess, in the second half then, Ron.
Ron Hochstein: Yes, yes, similar to -- maybe closer to the average grades.
Kerry Smith: Okay. So was [indiscernible] Okay. And you talked about the SVR that you're actually drilling another pilot hole in a different location, just to maybe see if you can -- if it's better rock conditions, which would allow you to maybe change the location. Is that a likely possibility, Ron? Again, if you did that, would that push out the completion?
Ron Hochstein: That's actually a really good question, Kerry, and I noticed when we were working through our script that we've had to mention that Q2 when we talked about that second hole, that Q2 takes into account if we stay with SVR what we call SVR1, the current location or if we have to switch to SVR2 we will still be done in Q2. The reason we did that, Kerry, is we just weren't sure even with the 2.1-meter raise, how that existing area that we're working would hold up. So touch wood, it's held up very well. We're actually almost done the 2.1-meter raise now. And so it's insurance, Kerry, it's opportunity. What we'll probably do is we will move the rig once the 2.1-meter raise is done is move it over and actually do the pilot hole there just to keep -- we just need to keep some having a Plan A and Plan B in place now because this has just gone on for too long. But we -- our team feels very confident. We brought in some really good people to look at it. And it's -- yes, we feel confident this will work and with the concrete line.
Kerry Smith: I got you. And how -- just remind me how deep say the raise is that you're drilling? How long it is?
Ron Hochstein: 297 meters.
Kerry Smith: Okay. And you're almost finished that 2.1 diameter raise now? Okay.
Ron Hochstein: Yes, we've got less than 30 meters to go to the surface.
Operator: [Operator Instructions] There are no further questions at this time. Please proceed.
Ron Hochstein: Thanks, Grant. Thank you, everyone, for taking the time to listen in this morning on the conference call. We look forward to providing ongoing updates with SVR exploration. And I guess the one other last closing comment is, many of you seen, we have a new government in Ecuador. I have to say it's what they've done in the country in his short time President Lasso has been amazing. One of the things we didn't mention in the call today is, we now -- our employees and contractors where over 90% of our employees with -- or have at least 1 dose. We are close to 20% being fully vaccinated. This program started in end of June. So it's only been 6 weeks. The government is coming to site every week, doctors with vaccinations and the government has done an amazing job in the country overall to push vaccinations and to try to reopen the economy. And so I just -- that's one thing on a closing note about the status in Ecuador. Thanks, again, everybody. Have a great rest of your summer. Be safe. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.